Operator: Good day, and welcome to Lindblad Expeditions Inc. Fourth Quarter 2019 Financial Results Conference Call. [Operator Instructions]. Please note, this event is being recorded.I would now like to turn the conference over to Craig Felenstein, Chief Financial Officer. Please go ahead.
Craig Felenstein: Thank you, Operator. Good morning, everyone, and thank you for joining us for Lindblad's 2019 fourth quarter and full year earnings call. With me on the call today is Sven Lindblad, our Founder and Chief Executive Officer. Sven will begin with some opening comments, and then I will follow with some details on our fourth quarter and full year results before we open the call for Q&A. You can find our latest earnings release in the Investor Relations section of our website.Before we get started, let me remind everyone that the company's comments today may include forward-looking statements. Those expectations are subject to risks and uncertainties that may cause actual results and performance to be materially different from these expectations. The company cannot guarantee the accuracy of any forecast or estimates, and we undertake no obligation to update any such forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company's SEC filings.In addition, our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measures and other associated disclosures are contained in the company's earnings release.And with that out of the way, let me turn the call over to Sven.
Sven-Olof Lindblad: Thank you, Craig, and thanks, everyone, for joining us this morning. It is a pleasure to be here today to discuss Lindblad's strong financial performance this past year and to highlight some of the strategic steps we have taken and continue to take to build upon this momentum in the years ahead.As the demand for adventure travel and expedition cruising specifically continues to rise with a proven track record of delivering authentic and high-quality experience in some of the world's most remarkable geographies, no company is better positioned to capitalize on this trend than Lindblad Expeditions. This was certainly evident in our 2019 financial results. Craig will discuss the specifics in a moment, but Lindblad's strong growth this past year, once again, demonstrates our ability to maintain high yields combined with high occupancy as we add significant capacity. Since we strategically began investing in our newbuild program back in 2015, Lindblad has increased our Available Guest Nights by over 20% while expanding net yields by 8% and maintaining occupancy levels at over 90% as more and more guests are experiencing the intimate and immersive expeditions we deliver.The latest addition to our fleet, the 100-passenger National Geographic Venture, has completed their first full year of operations, and guests have been extremely pleased with her comfort level, her array of exploration tools, the quality of her service and amenities and her ability to explore where many other ships simply cannot go. With the addition of Venture this past year and her sister ship, the National Geographic Quest in 2017, we have increased the size of our U.S. coastal fleet by over 250%. The primary reason we undertook this level of expansion was the excess demand we believe existed in certain key geographies, most notably Alaska, which certainly has proven to be the case this past summer. Even with added capacity, we nearly sold out our Alaska inventory for the entire 2019 season while increasing our yields across the expanded U.S. fleet.In all of our long-term plans with regards to building these U.S.-focused coastal ships, we took a conservative approach with regards to what the shoulder seasons would generate. The high returns on investment anticipated for these vessels was highly dependent on our ability to deliver strong returns during the summer months and has certainly been the case. However, we believe the shoulder seasons do represent a real opportunity. We continue to develop a number of ideas that will take greater advantage of these periods. This is where the bulk of our Wild Escape shorter 4- and 5-night programs are being developed. These programs will take some time to build and gain significant traction. The occupancies out of the gate are not expected to be at the same level as some of our traditional itineraries, but they will create opportunities for us to generate additional returns on these ships during the winter months while also developing a broader pipeline for attracting new guests, many of whom do not have the resources to embark on longer expeditions at these particular stages of their lives.A great example is the 5-night program we are offering in Mexico's Magdalena Bay, a geography that we have been operating in since 1981. It's a location that traditionally generated plenty of demand when we had only 2 U.S. ships. But with an expanded coastal fleet, we are looking for unique ways to expose broader audiences to this remarkable region. This newly developed expedition is an action-packed itinerary during the height of the gray whale season with amazing opportunities to have intimate contact from sea level on our Zodiac. It's a geography we are deeply familiar with, and this more compact itinerary will provide stunning experiences to a place that is easy to get to with the possibility of taking extra time in Baja. It's a perfect escape. We are currently offering 11 different Wild Escapes programs across 7 different geographies, and we're very excited about further development of these unique experiences for our guests.The big growth engine in the year ahead will certainly be the launch of our first newbuild polar ice class ship, the National Geographic Endurance. I just returned from my last visit to see her and was blown away. I wish everyone on this call could see her and experience her. This is expedition excellence meets elegance and spades. Robust would be an understatement. This ship can literally go where no ship built for passengers has ever gone. She is technically innovative and expansive with magnificent public spaces, including the first floating art exhibit in history, curated by the incomparable Zaria Forman. 50-plus artists have created an exhibit showcasing the wonder and the importance of ice. Throughout the ship, there's literally nowhere you can go where you are not connected to the outside. Even the sun does have an ocean view. And given that this ship will rarely see darkness, the connection out will be hugely significant.I'm excited to be joining her on her inaugural voyage in early April in the Norwegian Arctic, a place of stunning beauty at a time most other ships would never contemplate. And this is just the first of many truly remarkable voyages here scheduled for the upcoming year, including an expedition across the Northeast Passage and a 35-day Epic itinerary in Antarctica. Demand for this new state-of-the-art expedition ship has been off the charts, and she is already over 95% sold for the entire year.Based on the very strong response for the Endurance early last year, we took the next step in our ongoing newbuild strategy by committing to her sister ship, the National Geographic Resolution, slated for delivery in the fourth quarter of 2021. One of the important lessons I've learned through the years is to be careful not to undertake an "if you build it, they will come" strategy before committing to this further hardware expansion. We look closely at the demand curves for our expanding fleet as well as factors such as market dynamics, the competitive landscape, the quality of the yard we were working with and external acquisition opportunities. The Resolution has just gone on sale for the '21-'22 Antarctic season, and while still very early, initial demand has been strong. We are excited about the opportunity to further expand the fleet.Another area where we are expanding our offerings is across our charter vessels. As a reminder, there are 4 key reasons why we charter: one, to provide our past guests with greater diversity; two, to get more familiar with a region where we might wish to expand; three, to check out ships we may one day acquire. Several of our own ships started off as charters; and four, the economics are favorable because we can easily adjust the inventory-demand relationship. We continue to fine-tune our charter offerings and are close to announcing some new itineraries for 2021.As we strategically expand the geographies we visit and the size of our fleet, we're also continuing to invest in our infrastructure and communication REIT to ensure they are capable as we need them to effectively handle the anticipated growth. In 2018, we started a broad digital transformation journey, which involved reinventing nearly every point of digital interaction. We have with our guests and travel agent partners across 4 major programs a new CRM platform, a new marketing cloud, a new website and a new reservation system powering it all. We are live with the first phase of our new CRM platform, having connected it to our existing reservations platform, with the remaining 3 components of the journey coming to fruition later this year. Our new CRM platform is already allowing us to capture and market to leads that our prior system was unable to capture and is allowing us to provide a more seamless guest experience by creating a more rigorous and complete history of guest interactions.As we roll out the remaining elements of our digital transformation program, it will only enhance our CRM capabilities by providing a full 360-degree view of the guest, enabling sales and marketing actions that can be triggered in real-time by guest and travel advisory activity. The rollout of our new website and reservations platform will provide an enhanced digital guest experience, including full online booking capabilities into live inventory and dynamic pricing.We also continue to see returns from our increased marketing and sales efforts this past year. Our focus has been twofold: investing more deeply in lower funnel media, targeting consumers who have made some indications that they are interested in our type of travel; and investing more in media to create brand awareness to audiences that have a higher propensity to purchase our travel services even if they haven't explicitly indicated that they're currently in the market for an expedition.So far, we are seeing success in both areas. As an example, visitation on expeditions.com, one way of gauging the effectiveness of our awareness-driven media, was up 67% year-over-year driven by -- primarily by traffic associated with our media campaigns.In terms of our efforts to increase conversation, new households joining our database increased nearly 20% in 2019, and growth from direct bookings from first-time guests outpaced all other channels in 2019 largely driven by our media efforts. We continue to learn and optimize our marketing approach, and so far in 2020, we are seeing further increases in performance versus '19.The bulk of the benefit from our technology and marketing investments will bear fruit over the long term, but they are also helping to drive the strong reservation trends we continue to see today. We already have generated 55 million more in bookings for 2020 than we had at the same point a year ago for 2019. And we just had the strongest January in our history.So now let's take a moment to discuss the coronavirus, as I'm sure it's top of mind for most people on this call. So first of all, we only operate one small charter ship in Asia, and the majority of the 2020 itineraries on this vessel have already taken place. Second, less than 1% of our guests are sourced from China, and we have put in strict protocols around any guests that have traveled through this region, including Hong Kong and Macau. So we fully expect the direct impact on our business to be relatively small, extremely small. However, we do understand that this is an issue of both reality and perception, so there will be some indirect impact. This situation is not unique, frankly. And we have faced many situations like this before, SARS, terrorism, war, financial crisis. In each instance, there's a similar pattern: relatively few cancellations, a lull in future bookings anytime plus or minus a month, followed by a robust return to normal. We don't see why this should be any different. And February is on track to be as productive, slightly increased over last February, so we're not seeing any decline in business to date.We also have the advantage of traveling to places where contracting any disease is reduced because of limited outside human connection. Our whole primary mission is to avoid crowds, focusing instead primarily on nature. Obviously, there are exceptions, but they are few. Plus we have very educated, savvy clientele. They are going to balance perception, in fact, far better than most. And we'll conclude that traveling with us does not present undue risk. This too, like any other such illness, will pass. Hopefully, lessons will have been learned and life goes on. One thing I do know is that managing anything that represents this kind of risk is far simpler when dealing with smaller units.As the outlook for our marine-based operations remain strong, so does the momentum on our land-based operator, Natural Habitat. 2019 was another year of strong growth as more and more guests experienced the diverse products we offer from safaris in Africa to polar bears in Churchill. We continue to fine-tune our itineraries to focus on those that have the most upside while also looking for ways to capitalize on cross-marketing opportunities between Lindblad and Natural Habitat. We know that our guests have a diverse portfolio of travel interests and tend to be omnivorous. So the traveler to talk to you 1 year may be compelled to take an African safari the next and vice versa. The crossover activity of Lindblad and Natural Habitat constituents is continuing to grow exponentially each year, and we have an excellent, excellent template for further acquisitions as to how to best maximize long-term value.And finally, while Lindblad has always been at the forefront of environmental consciousness, we have really stepped it up in the past years, which we believe is both the right thing to do and the smart thing to do from a business perspective. So we are, as of 2019, a carbon-neutral company. We have eliminated all single-use plastics. We are pressuring supply chains to eliminate waste. Sustainable food procurement is increasing annually. New engine technology is incorporated in newbuilds. And the list goes on and on in smaller yet meaningful ways. This is not greenwashing. This is a multipronged tangible action that complements our Lindblad-National Geographic Fund, which raises now approximately $2 million a year to support conservation science and education globally.Together with National Geographic and MIT, we have launched scientific pilot projects in Alaska and Galápagos with deep-sea autonomous cameras to record beyond the diver's capability, and this work will significantly be expanded in 2020 and beyond. The goal is to add value to our scientific knowledge, while at the same time, adding interest to the guest experience. This marriage of purpose and profitability is a powerful one. And with 5 decades of history, focusing on both these fronts along with an ideal partner, National Geographic, nobody is better suited in the expedition space to grow while adding to the world's knowledge base than Lindblad Expeditions. I'm extremely excited about the future and look forward to broadening horizons and growing shareholder value in the years to come.And now let me turn this over -- back over to Craig.
Craig Felenstein: Thanks, Sven. Lindblad delivered another year of strong growth and sustained operating momentum during 2019, while at the same time, further positioning ourselves for continued expansion in the years ahead. Our strategic investment in capacity and infrastructure is generating strong financial results today as our proven track record of delivering high-quality and authentic expedition experiences is appealing to a growing audience for immersive adventure travel. And we are primed to build on this momentum moving forward as we add additional vessels while leveraging upgraded technology platforms and expanded sales and marketing capabilities.Before I highlight the strong growth expectations we have for 2020, let me take a few minutes to discuss the drivers of our financial performance from this past year. For the full year 2019, total company revenue increased 11% to $343 million, with 11% growth at both the Lindblad and Natural Habitat segments versus a year ago. We also delivered significant operating leverage as the strong revenue growth resulted in a 21% increase in adjusted EBITDA to $67 million, led by 21% growth at the Lindblad segment and 23% growth at Natural Habitat.Turning to each of the segments. The Lindblad segment generated revenue of $272 million during 2019 as compared with $246 million a year ago. The 11% year-on-year growth was primarily driven by a 10% increase in Available Guest Nights, mostly from the launch of the National Geographic Venture in December 2018. As we expanded capacity, we were also able to slightly increase net yields to $1,051 per night while maintaining occupancy at 91%. The increase in net yields was driven by higher ticket pricing and from the impact of changes to certain itineraries, most notably from transitioning some of the inventory on the National Geographic Orion from the South Pacific to the Russian Far East, partially offset by additional shoulder season inventory across our U.S. fleet. Our ability to sustain high price points and audience levels as we expand our capacity highlights the opportunity we have moving forward as we continue to add new ships.Looking at the cost side of the Lindblad segment. Operating expenses in 2019 increased 9% versus 2018, primarily reflecting a 9% increase in cost of tours due in large part to a full year of operations of the National Geographic Venture as well as additional departures on existing charter ships in the current year which were partially offset by lower dry dock expenses across the fleet.Fuel costs in 2019 increased 11% versus the prior year primarily due to the fleet expansion and fuel was 3.8% of revenue, which was in line with 2018. Sales and marketing expense in 2019 increased 16% versus a year ago due to higher commission expense associated with the revenue growth as well as from the planned marketing investments we have discussed previously, including costs associated with the rollout of our new CRM and reservation system as well as increased averaging spend as we look to further capitalize on our increasing capacity and the growing demand for expedition travel.G&A expenses declined 5% versus 2019 as higher personnel costs, transaction costs associated with our warrant exchange earlier in the year and higher credit card commissions associated with the booking strength were more than offset by the absence of costs related to refinancing our debt in 2018, lower stock-based compensation expense and lower VAT taxes in Ecuador.2019 also included $4.8 million of increased depreciation and amortization mostly related to the addition of the National Geographic Venture to the fleet. When you exclude stock-based compensation, depreciation and amortization and transaction costs, the Lindblad segment operating expenses increased 8% versus a year ago, and adjusted net cruise cost on a per night basis decreased 2% to $789.Overall, the Lindblad segment generated strong operating leverage this past year, with the 11% revenue growth driving a 21% increase in adjusted EBITDA to $58 million even as we continue to invest in these future growth initiatives.The Natural Habitat segment also generated nice operating leverage this past year, with revenue growth of 11% to $71 million due to additional departures and higher average pricing, driving a 23% increase in adjusted EBITDA to $8.6 million. The revenue growth was partially offset by a 10% increase in operating expenses from costs associated with the additional departures as well as from the timing of marketing and personnel spend to drive future growth. I should also note that, as Sven mentioned, we continue to see the benefits of combining the Lindblad and Natural Habitat businesses, with cross-selling expanding even further in 2019, including a 53% increase year-to-date in Natural Habitat sales of Lindblad itineraries.Total company net income available to common stockholders in 2019 was $13.7 million or $0.28 per diluted share versus $11.4 million or $0.24 per diluted share in 2018. The 21% increase was primarily driven by the strong operating results and a $2.3 million improvement in foreign currency impact versus a year ago. These gains were partially offset by a $2.7 million deemed dividend related to the warrant exchange in the third quarter of 2019, higher taxes of $1.6 million due to the improved operating results and $1.5 million of additional interest expense net primarily related to the $30 million of additional debt we incurred in conjunction with our second installment payment on the National Geographic Resolution. Please note that the weighted average diluted share count also increased during the year by 3.1 million shares predominantly due to the issuance of 3.9 million shares in conjunction with retiring all the outstanding warrants of the company.Turning quickly to the fourth quarter of 2019. Total company revenue growth was 7% versus the fourth quarter a year ago, while adjusted EBITDA increased 94%. The Lindblad segment generated 6% revenue growth to $54.9 million primarily from a 13% increase in Available Guest Nights due to the launch of the National Geographic Venture in December a year ago and the positive impact of dry dock timing in the current year, which was partially offset by a 6% decline in net yield and occupancy of 88% versus 91% a year ago. As Sven mentioned earlier, the decline in net yield and occupancy in the fourth quarter were primarily related to the additional shoulder season inventory that we had on the U.S. fleet this year.Lindblad segment operating expenses increased 2% on a reported basis versus the fourth quarter of 2018, and the operating expenses were flat, excluding stock-based compensation, depreciation and amortization and transaction costs as lower dry dock and VAT expenses were offset by costs associated with a full quarter of operating the National Geographic Venture as well as increased marketing spend to drive future growth.Fuel costs in the quarter were 20% above prior year due in large part to the fleet -- due to the fee expansion, and fuel was 5.2% of revenue in the fourth quarter compared with 4.5% in the same quarter in 2018. Adjusted net cruise costs on a per night basis decreased 12% due predominantly to the lower dry dock and VAT expenses in the quarter and additional operating nights across the fleet.Overall, the Lindblad segment, the 6% revenue growth and flat operating expenses in the fourth quarter resulted in an adjusted EBITDA growth to $3.2 million in the fourth quarter versus $0.3 million in the fourth quarter a year ago.At the Natural Habitat segment, revenues during the fourth quarter grew 11% to $20.9 million versus a year ago due to additional departures and higher average pricing. Adjusted EBITDA increased 26% to $4.8 million, with the revenue growth partially offset by an 8% increase in operating expenses due to higher marketing and personnel costs and increased cost of tours for the additional departures.Total company net loss available to common stockholders in the quarter was $1.5 million or $0.03 per diluted share versus a loss of $4.6 million or $0.10 a share reported in the fourth quarter a year ago due to the improved operating results and a $1.3 million gain on foreign currency primarily from forward contracts at Natural Habitat versus a foreign currency loss of $0.7 million a year ago.Looking at our balance sheet. We remain extremely well positioned to invest in future growth opportunities. We ended the year with $102 million in unrestricted cash. Free cash flow for 2019 was a use of $33 million and included $75 million spent on newbuilds. When you include only maintenance CapEx, free cash flow was $42 million for 2019. As a reminder, during the third quarter, we did borrow $30.5 million under our export credit agreement and used the proceeds for the second installment payment for the National Geographic Resolution. The third contracted installment payment of approximately $31 million is anticipated to be paid in the second quarter of 2020. Additionally, upon delivery of the National Geographic Endurance in the first quarter of 2020, we will pay the remaining 80% due on the contract for the vessel or approximately $108 million. We will likely draw down on our available export credit agreements in conjunction with both payments.Turning to our expectations for the full year 2020. We anticipate significant growth driven by capacity expansion and increased net yields. Available Guest Nights overall are anticipated to increase in the mid- to high-teens range in large part from the launch of the National Geographic Endurance during the second quarter of the year. The Lindblad segment for 2020 is currently pacing 26% ahead of the same point a year ago with regard to bookings, and we are already at 86% of our full year projected ticket revenues for 2020 despite the additional inventory as compared with 87% of the 2019 full year ticket revenue at the same time a year ago. Given the additional capacity and the strong booking trends we are generating, we expect total company tour revenues in 2020 between $400 million and $410 million, 17% to 20% growth versus 2019, and adjusted EBITDA between $82 million and $86 million or 23% to 29% growth versus 2019.Please note that these projections do not assume any significant cancellations or a slowdown in current year bookings due to the coronavirus. While we do not anticipate much direct impact given the destinations where we operate and the geographies where we source our guests, there is certainly the potential for a change in overall travel habits, which could meaningfully alter our expectations for the 2020 year. Please also remember that our first quarter results will include start-up costs associated with the National Geographic Endurance ahead of our April launch without any corresponding revenues. Additionally, 2020 will include further operating expenses associated with the rollout of our new CRM and reservation systems, the benefit of which will predominantly help drive further revenue growth beginning in 2020. In addition to -- sorry, in 2021.In addition to the strong P&L growth in 2020, we also anticipate another year of strong free cash flow generation, excluding new vessel spend. Maintenance CapEx is expected to be approximately $20 million primarily from the fleet expansion and development costs related to the implementing of new technology later this year. Growth CapEx in 2020 will primarily include the delivery payment associated with the National Geographic Endurance as well as the third installment payment for the National Geographic Resolution discussed previously.Thank you very much for your time this morning. And now Sven and I would be happy to answer any questions you may have.
Operator: [Operator Instructions]. Our first question will come from Steven Wieczynski with Stifel.
Steven Wieczynski: So Sven, you gave a lot of good detail around the virus or the potential virus impact that could be there. And obviously, your booking window being extremely elongated should help you guys out as well. But I guess -- wondering if you can talk about maybe what you've seen in terms of bookings or lack of them over the past couple of weeks. And then also maybe if you've seen any change in kind of your cancellation rate as well?
Craig Felenstein: Yes. This is Craig. Why don't I handle that and Sven can provide some additional color? As Sven kind of mentioned, through January, everything was, I would say, only positive. It was completely -- the growth year-on-year bookings was up, I would say, close to 50% year-on-year in January. February will continue to be opposite, as I mentioned, year-on-year, but we did, towards the end of the month, start to see some more choppiness, I would say, in terms of bookings. Yesterday actually, into itself, is a prime example. Yesterday was one of the best days we've had. Bookings were really strong across the board not just for the new ships but also the returning fleet. So we continue to see strength pretty much, I would say, on a consistent basis.That said, there are pockets of slightly higher cancellations in any given day. We are starting to see bookings, I would say, a little bit further out in the year for travel later in 2020 as opposed to earlier in 2020, more than we had seen previously. But all in all, we're seeing a pretty consistent trend with bookings over the last couple of weeks that we saw earlier in the year.
Steven Wieczynski: Okay. Got you. And then I wanted to ask you guys about the partnership with National Geographic and if you've seen any major differences now that they're owned by a different company obviously. And maybe how we should start to think about that partnership or how you guys think about the renewal process and how that might play out?
Sven-Olof Lindblad: Yes. Sven here. So our activity together with National Geographic is in a very healthy state. It's -- in fact, in terms of the business generated by their travel business, it's up quite significantly this year. And as everybody knows, I think that our agreement runs into 2025, and we will soon begin to have active discussions as to how we move forward, which have already begun, informally happening. But from a more formal perspective, they'll start in earnest in the next year or so. And we see absolutely no reason from the perspective of National Geographic nor ourselves that we wouldn't wish to continue our relationship, which has been such a positive partnership for both National Geographic and ourselves over the years. Does that answer your question?
Steven Wieczynski: Yes, yes. That's fine. And then if I could ask one more? And this is a bigger picture question. But I think the question we get a lot from investors, especially with the luxury exploration space, it seems like there's a good bit of increased competition from kind of new entrants into the space, whether that's Viking or Silversea. And just wanted to get your kind of thoughts now, Sven, around that and maybe how you talk to investors about not being overly concerned about that increased competition. What keeps you guys so unique relative to some of these start-ups?
Sven-Olof Lindblad: Yes. So obviously, it's a dynamic situation with -- as it relates to competition. New competition is coming in sort of rather regularly these days. And the way I look at it and the way we discuss it internally from the perspective of how we wish to react to it is, first of all, this has been sort of the expedition segment. It's been an extremely small segment of the travel industry related to the whole, and it is now one of the fastest-growing segments within the travel industry and obviously not in absolute terms but in terms of related to itself.So in a sense, what competition invariably does is it raises the profile of an idea. It expands the sort of interest in a category, if you will. And I think that's what's happening here and will continue to happen. And then I think we're very, very well placed to harvest a lot of that interest. People these days, they're not going to take one person's message in isolation. It's going to usually drive them to the Web. They're going to do some research. They're going to try and figure out, "Okay. What is this all about? What are my different options?" And I think our brand, together with National Geographic, we will fare very well in that conversation, if you will, because -- particularly when people are not exactly -- they're early -- it's an early experience as it relates to this kind of travel, I think they're going to be very cognizant of brand reputation, and I think that's going to play as an important feature.
Operator: Our next question comes from Alex Fuhrman with Craig-Hallum Capital Group.
Alex Fuhrman: I wanted to ask about the strong booking strength that you've seen here in 2020. Can you comment on how much of that do you feel like is being driven by bookings for the new Endurance when that launches versus for your existing itineraries or some of the newer shoulder season itinerary you've been launching?And then more specifically on the Endurance. As that gets close to launching, can you give us a sense of who's been booking that voyage on that ship? Has that been mostly your long-time customers looking for a new itinerary? Or has that been helping to drive new customers into the brand as well?
Sven-Olof Lindblad: Okay. So that's a lot of questions all wrapped up into one, but let me try and give it a stab and then let's -- hopefully I won't miss too much. So as it relates to the Endurance. Of course, every -- any time we come up with something totally new, the initial primary driver is a community of people that have some familiarity with these past guests. But this is gaining traction on a wider basis than just past guests, and we're very, very pleased about it because it's such an innovative leap for us.But as it relates to the rest of the fleet, we're not seeing any sort of destruction of activity on the rest of the fleet because all of these different products appeal to very distinct audiences. So for example, the person we're marketing Escapes to is not the person we expect to see, at least at this stage in their lives, going to the Endurance. The people that go to the Galápagos in Alaska, for example, which are "bucket list destinations" are very different than the people who go with us to Costa Rica and Baja California and the Arctic.So our audience is not sort of monolithic. It's very, very diverse, and it's very targeted according to their interest and their sort of at the stage of their life and their psychographics. So we have that, I think, very, very well in order. And so we can have this sort of approach where newness, whatever comes in that's new, does not unduly compete with that which is old because they really belong to different audiences.
Craig Felenstein: Yes. Let me just follow up a little bit with some color on the booking profile today. When you look throughout 2019, we certainly saw a large increase due to the Endurance because she went on sail at the end of 2018. So that was really the first year of her booking. When you look at the bookings that we're seeing right now, in the early part of 2020, it's really across the fleet, as Sven mentioned, because for those folks traveling on the Endurance in the middle part of this year compared to the later part of this year, most of that has already been booked. So when we see bookings today, we're seeing bookings for across the fleet for the remainder of 2020, and then for 2021, a combination of both new and existing vessels.
Alex Fuhrman: Great. That's really helpful. And then if I could just ask quickly on the Wild Escapes? It seems like that's successfully helping you go after a slightly younger audience. Have any of these customers then been transitioning to longer, more traditional itineraries? Or has there been booking interest amongst those new customers coming in through Wild Escapes?
Sven-Olof Lindblad: Yes. So I think these programs are sufficiently new that they're -- we're not going to get a lot of data or a lot of subsequent activity that quickly necessarily. What we do know is that it definitely has been bringing in new people. It definitely has been bringing in people of a somewhat younger demographic. And when it comes to sort of looking at it from a lifetime value perspective, we absolutely believe we will be able to generate further interest amongst this community.
Operator: Our next question comes from Tyler Batory with Janney Capital Markets.
Tyler Batory: First, I wanted to actually follow up on the Wild Escapes and some of the shoulder season itineraries that you guys have added. Can you speak to the profitability of those trips? And I think in your opening comments, you talked about building occupancy there. Do you think the gap could ever close with what you're doing with your traditional trips versus some of the shoulder season inventory from an occupancy perspective?
Craig Felenstein: Sure. This is Craig. Let me give a little bit of color and Sven can chime in if he sees the opportunity. So when you look at the Wild Escapes from a profitability perspective today, they're a little bit less because we're not quite at the occupancy levels that we want to be on these trips just yet. They're still very profitable for us, and they're still adding to the overall bottom line of the company. But when you look at the really high margins that we have on our existing, but I would say, busy season itineraries, those margins are certainly higher just given the fact that they're full and they're traveling at very high yields.That said, when you look at the occupancy on the Wild Escapes that we're doing today, the occupancy that we've added with new inventory is actually very similar to what the occupancy was on these shoulder-season ships previously. So when we had two ships, we had occupancy at a certain level. Now we have 4 ships, we have occupancy a little bit less because we know 4 ships, but the yields overall are very much where we expected them to be. It's just a matter of now increasing the overall profile in terms of getting more guests on these ships, so we can fill them even further, which will certainly be increasing profitability because the cost basis is already there. So when you look across the fleet -- I'm not going to get to the occupancy at the time of the year, but the reason the occupancy is lower traditionally in Q4 is because of this shoulder season inventory.
Tyler Batory: Okay. Got it. That's helpful. And I also wanted to follow up on the competition. Given you have Endurance and then the Resolution coming online in the polar regions, just wondering if you can talk a little bit more to the competitive dynamics of those markets specifically and how you're positioned there. And then also how the competition in those locations compares to some of your other geographies, especially Alaska?
Sven-Olof Lindblad: Okay. So far, so our newer ships, the Endurance and then the Resolution coming on its heels, will be primarily polar vessels that will operate in the Arctic in the summer and the Antarctic in the winter. They can operate longer in these areas because of the specific class -- the ice class of the vessels. So for example, we will be going up now in April to the Norwegian -- the high Norwegian Arctic, and there will be no other ships essentially, except maybe some small -- like the Swedish icebreaker -- little small Swedish icebreaker which I chartered a couple of years ago to investigate what the Arctic would be like at this time of year. And none of us had ever been up there this early before and discovered that it was spectacular.So in any case, we'll be up there in April and early May. And there will be no other competition there in essence because either those ships don't have the capacity to be there at this time of year or they don't believe that there's interest. And so I feel we can go further, we can differentiate. And I believe that will hold us in good stead as it relates to the competition. I wasn't 100% sure of the second part of your question, so you might want to restate that.
Tyler Batory: No, I think that's helpful. I mean I was just trying to get a sense of how the -- if there's new supply coming online that might compete with you guys in some of those locations. And maybe how your competitors, they're doing some of these trips, what they're doing and how that compares to what you're seeing in some of your other markets.
Sven-Olof Lindblad: Yes. You mentioned Alaska. And Alaska is -- this is primarily why we built U.S. -- 2 of our ships as U.S. flagships: because it allows you to operate in Alaska without the limitations of the Jones Act. So other ships, foreign ships, you have to come from Vancouver, and you have to spend a fair amount of time outside of Alaska on a voyage where the interest is primarily Alaska. And so what we're able to offer people is a pure concentrated Alaska experience. And there are not too many other U.S. flag vessels competing in that regard. So I think the size of the vessels matters a great deal. I think the fact that they're U.S. flag matters a great deal. It allows us to create -- or offer a really differentiated experience from the mass activity that exists in Alaska.
Operator: And our last question today will come from Greg Pendy with Sidoti.
Gregory Pendy: Craig, I think you mentioned earlier just -- you're targeting April for the new ship launch, new ship costs. How should we be thinking about that relative to your prior ship? I mean should it be about 20% more new ship launches? Just thinking the capacity is about 20% more. Is that something we should be thinking about in 1Q?
Craig Felenstein: I would say I wouldn't look at it that way. I would say when you're looking at the new ship launch, there's a couple of things you're going to do. Certainly, you're going to be hiring crew to go over there and train on the vessel. You're going to be purchasing things that will be used for the ship that are not capitalized expenses. So it's more of those kind of things rather than the operating cost of the ship.I think when you look at the additional costs associated with launching the launching the Endurance plus additional costs that we're going to have likely for the new technology platforms, I think if you look at the first quarter, that will probably layer in another $3 million to $4 million of cost in Q1 versus where we were a year ago on those two items.
Gregory Pendy: Okay. That's helpful. And is the Resolution still kind of targeting late 2021? I think that was the last comment last time you mentioned it.
Craig Felenstein: Yes, that's correct. So currently, she's scheduled to launch in the fourth quarter of 2021.
Gregory Pendy: Okay. And then just one final one, if I can. Just thinking about the 2020 guidance. I mean you guys did a very good job with Natural Habitat. But now we're anniversarying a lot of, I guess, the cross-selling of the databases. I mean how do you continue the further momentum out into 2020 of just the top line on Natural Habitat?
Craig Felenstein: Yes. I think Ben Bressler and his team are doing a fantastic job of marketing what I would say is a very targeted and focused set of itineraries. They're doing a great job building up, what I would say is geography that they know are going to be the most profitable for them, such as safaris or polar bears or things of that nature. And we continue to see guest demand ratchet up. So when they continue to market appropriately and they continue to attract more and more guests, there's no reason why that top line can continue to grow. It's not fully predicated on obviously sales between Lindblad and Natural Habitat. That's just a benefit that we have because of the relationship we have. But they're doing a great job of attracting guests on their own. And as long as they can continue to come up with a unique and innovative new itineraries, I see no reason why that can't continue to grow at a nice clip for, I would say, several years.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Craig Felenstein for any closing remarks.
Craig Felenstein: Thank you, operator. Thank you, everybody, for joining us today. We look forward to catching up over the next few days with any additional questions you may have. So please just give us a call with anything we can help with. Thank you.
Sven-Olof Lindblad: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.